Operator: Good afternoon, everyone. And welcome to the TILT Holdings First Quarter Conference Call and Webcast. Today’s call is being recorded for replay purposes. A replay of the audio webcast will be available in the Investors section of the company’s website approximately two hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference call over to the host today, TILT’s Head of Investor Relations and Corporate Communications, Lynn Ricci. Please go ahead.
Lynn Ricci: Thank you, Doug. Good afternoon, everyone, and thank you for joining us. Earlier today, we issued our first quarter 2023 earnings press release. The press release, along with our quarterly report on Form 10-Q, is available on the U.S. Securities and Exchange Commission’s website at www.sec.gov, on SEDAR at www.sedar.com and our website at www.tiltholdings.com. Please note that during this afternoon’s webcast, remarks made regarding future expectations, plans and prospects for the company constitute forward-looking statements. Actual results may differ materially from those indicated by such forward-looking statements as a result of various factors, which we disclose in more detail in Amendment No. 2 to the Form-10 registration statement filed by TILT with the SEC and on SEDAR. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update such forward-looking statements in the future, we specifically disclaim any obligation to do so, except as otherwise required by law. As of today’s call, we are presenting our financial results in accordance with the United States Generally Accepted Accounting Principles, or GAAP. During the call, management will also discuss certain financial measures that are not calculated in accordance with GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for TILT’s financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their nearest equivalent GAAP measure is available in our earnings press release that is in exhibit to our current report on Form 8-K that we filed with the SEC and SEDAR today, and can be found in our Investor Relations section of our website. On today's call are our interim CEO, Tim Conder; and CFO, Dana Arvidson. We will not be conducting Q&A following our prepared remarks. During today's prepared remarks, we may offer metrics to provide greater insight into our business and/or our financial results. Please be advised that we may or may not continue to provide these additional metrics in the future. With that, I will now turn the call over to our Interim CEO, Tim Conder.
Tim Conder: Thank you, Lynn, and good afternoon, everyone. It's a pleasure to speak with you all today. I want to provide a few remarks before turning it over to Dana to cover our first quarter financial results. As we announced on April 24, I have agreed to step in as Interim Chief Executive officer of TILT. I have been and continue to be deeply committed to the success of TILT and its subsidiaries. For those of you who are unfamiliar with me and my background, I'd like to take a moment to introduce myself. I started my career in cannabis over eight years ago when I founded Blackbird Logistics, a technology, distribution and delivery company serving the West Coast initially and growing to serve hundreds of clients and millions of customers nationwide. In 2019, Blackbird was acquired by TILT. Since then, I have been involved with TILT in several ways, as a business unit leader, as the company's President and COO, and most recently as a member of the Board of Directors. You may have questions about our search for a permanent CEO. The Nomination and Governance Committee and Board of Directors. You may have questions about our search for a permanent CEO. The nomination and governance committee and Board of Directors will be working diligently to ensure that we find the best person to lead TILT into the future. That said, I’m getting right to work as is Mark Scatterday, who we also announced has returned to TILT as a Senior Advisor focused on Jupiter’s inhalation business. Stepping back into the day to today at TILT has been a relatively smooth transition and I am grateful to be reengaged with our teams on the ground, who are working hard to make our company a success. Over the past two weeks, I visited our soon to open Little Beach Harvest dispensary in New York and met with our partners on the project, the Shinnecock Nation. I also spent time with our team in Massachusetts where our vertical operation is poised for optimization and revenue growth. As with any new role, I expect the coming weeks and months will be spent visiting our sites, meeting with our teams, engaging with our customers, and digging deep into the business. With a renewed perspective of our organization, I have outlined certain areas of focus for our teams. First, operational excellence. TILT was not immune to market pressures prevalent across the cannabis industry in 2022. Therefore, it is imperative that we optimize our plant touching business for margin expansion and cash generation. This has already begun in earnest with headcount reductions, vendor rationalization and other cost cutting measures. We need only look as far as our Jupiter business for a great example of such optimization where the revenue per employee exceeds $3 million annual. Second, cannabis product portfolio optimization. We must ensure that we are selling the right products, in the right markets, to the right consumers, at the right price. We are introducing rigor to the evaluation of our product assortment strategy, and we are already uncovering opportunities that may expand margin and grow revenue. Turning now to our plant touching and hardware businesses for an update. Let me start with Jupiter. As I mentioned earlier, Mark Scatterday, Jupiter’s Founder and former CEO has stepped back into the business in a senior advisory role to ensure that our hardware and inhalation business is set up for long-term success. With Mark’s guidance, we will continue to build a strong partnership with Smore our manufacturing partner. Together, we have a leading position with our existing CECL inhalation product offerings and best-in-class customer service. Jupiter will be focused and applying resources toward new product research and innovation. We will be increasing and accelerating our product collaboration with Smore with the goal of strengthening our partnership. The team at Jupiter announced new innovative products at the end of the fourth quarter, which we are working toward launching in the market. We look forward to sharing more soon. Now, moving to the plant touching side of TILT’s business. We launched a new partnership with Coda Signature premiere chocolatier bringing their high-end chocolates to the Massachusetts market in March. We plan to launch Coda in the Ohio market by June. In addition, the skews related to new brand partner launches, we are currently researching and developing new products, exploring cultivation and bulk purchase opportunities and doing a top to bottom review of product pathways to maximize our end-to-end margin impact as part of our overall right-sizing plan to contain costs and gain efficiencies. I believe there is still unrealized opportunity for TILT in all three of our plant touching markets and we will build on our early success by making data-driven decisions when and how to position additional brands and/or SKUs in the market. We look forward to sharing more soon. I’d now like to turn the call over to Dana to review our financial performance in more detail.
Dana Arvidson: Thanks, Tim, and good afternoon, everyone. As a reminder, all results today are presented in U.S. dollars and on a year-over-year basis unless stated otherwise. Now, jumping into our results. Revenue in the first quarter of 2023 was $42.3 million, essentially flat from last year. For our hardware business, we generated $29.3 million in revenue compared to $31.1 million in the year ago period. And in our cannabis operations, revenue in the first quarter was $13 million compared to $11.3 million in the first quarter of 2022. Gross margin in Q1 was 21% compared to 22% in the year ago period. The decrease in gross margin was primarily due to price compression in Massachusetts partially offset by an increase in gross margin in our hardware business, which was a function of lower input costs. Operating expenses, less non-cash adjustments or stock compensation, depreciation and amortization and impairment charges in the first quarter totaled $11.8 million compared to $10.4 million in a year ago period. The increase was driven primarily by higher general and administrative expenses and increased retail headcount in Massachusetts. Several one-time expenses also drove G&A up approximately $800,000 year-over-year. TILT management is in the process of evaluating our operating expense base with the goal of eliminating extraneous costs wherever possible. We'll provide you with an update on these efforts in future quarters. Net loss in the first quarter was $4.9 million, compared to a net loss of $11.6 million in a year ago period. The improvement was primarily driven by a one-time gain on sale of assets relating to the sale-leaseback of our White Haven, Pennsylvania cultivation and manufacturing facility, which closed in February, 2023. Adjusted EBITDA in Q1 was negative $79,000 compared to a positive $1.5 million in the year ago quarter. The decrease was mainly driven by the aforementioned decline in gross margin and increase in OpEx year-over-year. Cash provided by operations in the first quarter of 2023 was $3.8 million, modestly lower than the $4.2 million in the year ago quarter. At March 31, 2023, the company had $5.2 million of cash, cash equivalents, and restricted cash compared to $3.5 million at December 31, 2022. Total net debt at March 31, 2023, was $48.9 million, compared to $59.7 million at December 31, 2022. You may recall, in the first quarter of this year, we announced several transactions to fortify our balance sheet. We amended our existing revolving credit facility to increase credit availability, improve turns, and extend the maturity date. We also announced a series of transactions that alleviated our near-term debt maturity, including the $15 million sale leaseback of our Pennsylvania cultivation and manufacturing facility. The proceeds of this transaction were used to repay in full a 2019 senior secured note and make a substantial payment to our junior note holders. Finally, we extended the maturity date and revised the terms of our junior notes, which are now senior secured and mature in February 2026. Together with transactions occurring in 2022, these steps allowed us to reduce our non-revolving debt from $86.7 million in December 2021 to $48.9 million as of March 2023. As mentioned in our prior earnings call we will not be providing guidance for 2023. And as Tim alluded to earlier, management will remain focused on increasing operational efficiencies and positioning TILT to withstand a challenging and evolving cannabis market. With that, I'll turn it back to Tim.
Tim Conder: Thank you, Dana. I'm optimistic about TILT's future and we're grateful for our existing shareholders and their continued support. With the cost reduction and other optimization initiatives underway, we are working to improve our bottom line in the quarters ahead. I'd also like to take this opportunity to thank our note holders for their continued support and confidence as we take steps to get our business on firm financial footing. And lastly, but most importantly, I want to thank our employees who have welcomed me and Mark Scatterday back into the fold and helped us hit the ground running. As I mentioned at the top of the call, we will not take questions today. I appreciate your understanding this change in call structure as I step into this new role. Thank you for joining us today. We look forward to speaking with all of you again for our Q2 call.
Operator: Thank you. This concludes today's conference call and webcast. You may now disconnect your lines at this time. Thank you for your participation.
Q - :